Operator: Good day, and welcome to the TransUnion 2022 Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Aaron Hoffman, Senior Vice President, Investor Relations. Please go ahead.
Aaron Hoffman: Good morning, everyone, and thank you for joining us today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations Web site this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items as well as certain non-GAAP disclosures and financial measures, along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded, and a replay will be available on our Web site. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent Form 10-K, Form 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me now turn the call over to Chris.
Chris Cartwright: Thank you, Aaron, and let me add my welcome and share our agenda for the call this morning. I'll begin with an overview of our financial results along with commentary on the economic conditions in our markets around the globe. I also would like to share highlights on the performance of our acquisitions and the progress we've made to integrate them and realize their full potential. Todd will then review in detail our second quarter results, our revised full year guidance and the changes to our business over recent years that should improve its performance during economic downturns.  Now throughout the first half of this year, economic conditions have been positive across our portfolio. Consumer employment, incomes, balance sheets, spending, savings rates and credit performance have been strong in most of the markets that we serve globally. We expect this favorable environment to continue over the balance of the year. That said, there are macroeconomic concerns emerging globally that could pressure consumer spending and growth over the intermediate term.  Materially higher interest rates and inflation worsened by supply chain constraints and geopolitical uncertainties could negatively affect economic conditions in 2023. These factors are more visible today in our developed markets such as the U.S., Canada and the UK. We will continue to watch the economic factors and overall consumer health across our global portfolio and react appropriately to changing conditions.  Now we also believe that we're well positioned to withstand an economic downturn due to our increased diversification across geographies, vertical markets, and solutions. Demand should remain strong during the slowdown across our emerging markets, where economic growth is inherently higher and credit utilization is expanding in the developing middle classes.  Also, verticals such as insurance, telecom, collections, and professional services, legal and law enforcement in the public sector run either neutral to or counter to economic cycles. And many of our solutions should perform well during slowdowns, including credit portfolio management, fraud mitigation, investigative solutions, performance analytics, and others. Todd will supply further perspective on our portfolio resiliency later in this call.  Now as you can see from our earnings release, we posted strong results for the second quarter and reissued solid guidance for the full year based on the strength of our core business and the positive contributions of our recent acquisitions. In the second quarter, TransUnion's organic constant currency revenue growth was 5% overall and 9% excluding U.S. mortgage revenues.  U.S. markets grew 13%, excluding mortgage. International grew 15% and consumer interactive declined 9% due to a series of market and TransUnion specific challenges, which I will discuss below. All results again are on an organic constant currency basis. In the U.S. markets in the second quarter, financial services, excluding mortgage, grew a robust 18% on the strength of consumer lending, which grew 29%, card and banking which grew 17% and auto, which managed to grow 5% despite inventory shortages.  Also, our insurance, media and public sector verticals grew by double digits organically. Our international segment grew 15% on an organic constant currency basis behind surging growth in our emerging markets of India, LatAm, APAC and Africa, and attractive growth in Canada and the UK after adjusting for nonrecurring revenues from the prior year. Also, sales momentum is accelerating across our international markets, as shown by increased pipelines and win rates that should propel growth throughout the second half of the year and beyond.  Now, our consumer segment declined 9% in the quarter due to a confluence of factors. The direct business declined materially in the quarter against the challenging comparisons of low double digit growth in the prior year. Also, we observed a slowdown in demand for paid credit services across the industry in the first half, especially compared to the higher growth of freemium offerings. TransUnion today has a small freemium service, and this represents an opportunity for our future growth.  Our indirect business also slowed, although not as much as direct, due to the industry-wide slowdown we observed. Indirect results also were affected by several contract restructurings last year, as we secured longer-term commitments for increased volumes. We expect to grow through this revenue compression over the course of this year. Encouragingly, sales of identity protection and breach services are exceeding expectations.  We secured multiple new material deals in the quarter, which would not have been possible prior to the acquisition of Sontiq. We have therefore shifted more of our consumer advertising spend to identity protection services given their strong performance. We expect that it will take several quarters to work through the current challenges in our consumer business related to contract restructurings and optimal product and marketing strategies.  And now turning to our revised full year guidance for 2022, we have reduced enterprise organic growth expectations, excluding U.S. mortgage, from 11% to 9.5% at the guidance midpoints. As the organic growth bridge shows, our revised guidance reflects adjustments in several factors, including the shortfall in second quarter results, a lower mortgage forecast given the rapid increase in rates and falling volumes, modestly lower growth in U.S. markets, excluding mortgage, as we reduce our forecast and financial services to the mid teens versus our earlier guide of approximately 20%.  The near-term retrenchment and consumer interactive as we adjust our marketing strategies absorb compression from restructurings and accelerate our sales of identity and breach services. And finally, foreign exchange headwinds from the strong U.S. dollar. Now overall, our revenue guidance for 2022 is still very compelling on the strength of rebounding economic activity from pandemic re-openings, positive consumer financial health, TransUnion's attractive market positions and our strong execution of our growth playbook. And in addition to strong organic revenue growth, we expect to deliver on organic adjusted EBITDA margin of about 40%.  Now turning to our three acquisitions, we made substantial progress integrating them into TransUnion over the first half of this year. Each of the acquisitions is performing in line with our acquisition cases, and the expectations we communicated previously. Importantly, the feedback and results in our early days of owning these assets are proving the rationales for their acquisition and the power of combining them into TransUnion. In the quarter, Neustar revenues grew mid single digits as we expected against a difficult comparison to Q2 of 2021, where growth surged over the pandemic lockdown in 2020. We now expect revenue growth for the full year in the mid single digits based on the implementation of record sales wins from last year, which included a Fortune 10 enterprise and accelerating adoption of branded and trusted call solutions in the communications vertical. Now this is tempered somewhat by market volume uncertainty and the timing of new customer onboarding.  The business delivered 24% adjusted EBITDA margin due to the revenue fall through and ahead of target execution of our cost reduction programs. We are confident that we will migrate Neustar's technology assets to a new cloud provider with more favorable rates by the end of this year and close eight data centers as well.  Additionally, we are realizing the cost synergies that we expected through combining our general and administrative functions. Given our progress achieving our cost reduction goals, we expect to reach a 26% adjusted EBITDA margin by year end. And importantly, we will keep or accelerate our investment in areas that drive revenue growth and product innovation, which are proving to be considerable.  Now market feedback has been positive on the benefits of combining TransUnion and Neustar's credit marketing and fraud prevention capabilities. Therefore, we have accelerated the integration of our marketing and fraud solutions and key functions such as analytics, technology, and sales. A top priority is to incorporate TransUnion's troves of data into Neustar's OneID platform to enhance its effectiveness. The bulk of this program will be completed by the end of this year.  We also are integrating our joint audience data and functionality, including commerce signals data from Argus into a single platform and creating common identity capabilities to support TransUnion solutions enterprise wide. In this quarter, we launched an innovative marketing cleanroom that integrates client and TU data in a single compliant and privacy-enabled environment to enhance audience building, performance analytics, and collaboration generally. This cleanroom solution will be offered directly to customers and through most of the major marketing technology platform providers.  Within our newly integrated fraud business, we are executing a unified product strategy that integrates our various knowledge based device, behavioral and telephonic solutions into a common interface with a single orchestration layer on a common analytic platform. We expect a beta version of this next generation solution to be available early next year. Finally, our efforts to cross sell this expanded suite of solutions are building momentum as we experienced growing pipelines with a strong level of conversion. Across all solutions cross selling, we have more than 150 deals in various stages of our sales pipeline, including about half in the later stages. And in the first half of 2022, our increasingly integrated marketing solutions grew double digits.  Now turning to Sontiq, it generated almost 24 million in revenue in the second quarter, down slightly versus expectations as it compared to our quarter last year with revenues from a large breach. We have fully integrated the sale of credit access and monitoring with identity protection and breach remediation, and build a robust pipeline with significant new sales, including a major competitive takeaway that would not have been possible without Sontiq solutions. We expect that our increased level of new sales will result in accelerated growth starting in 2023.  Overall, Sontiq's revenues for the full year are trending slightly ahead of plan and our cost integration efforts are continuing to pace. We expect mid teens revenue growth this year and almost a 40% margin, excluding integration costs. And I'll conclude my deal updates with the acquisition of the businesses that were previously part of the Verisk Financial Services group.  As a reminder, there are six businesses in this portfolio and we've decided to keep Argus insights and Commerce Signals and to divest the remaining companies due to a lack of strategic fit with TransUnion. The retained businesses generated revenue of about 95 million in 2021. We have moved the other companies to discontinued operations and are currently marketing them to prospective buyers. Thus far, we have received robust interest and we'll keep you apprised as the sale process develops. Now in the quarter, we realized revenue from Argus and Commerce Signals of 22 million, up 4% and at a margin of 20% or 25%, excluding the integration costs. We've already seen strong levels of customer interest in finding new ways to use the Argus data and insights, which have led to many requests for joint discovery engagements. As we integrate Argus over the year, we expect revenue growth in the low single digits with a 31% margin, excluding integration costs.  Next year, our plan is for growth to increase to the high single digits and then reach low double digits in 2024 with the margin expanding in these years, as we trend toward our enterprise goal of a 40% margin in 2026. Now revitalizing the delivery of Argus data on TransUnion's digital platforms as well as using our thought leadership will be key to realizing these higher sales levels.  And before I turn the time over to Todd, I want to take a moment to welcome two new Board members to TransUnion, Hamidou Dia and Ravi Kumar. Hamidou is the Vice President and Global Head of Solutions Engineering at Google Cloud, where he leads the global solution engineering organization. His expertise in both cloud architecture and digital transformation will guide us as we continue to build out our state-of-the-art technology infrastructure.  Ravi is the President of Infosys, a global IT consulting and services company, where he leads the Infosys Global Services Organization across all industry segments. He brings extensive experience in reimagining and reinventing technology services that will help shape the solutions and products we develop. That wraps my update on our market backdrop, second quarter performance and the integration of our recent acquisitions.  I'll now turn the time over to Todd to walk you through our second quarter financial results and our third quarter and full year guidance. So, Todd, over to you. 
Todd Cello: Okay. Thanks, Chris. And let me add my welcome to everyone. I'll start off with our consolidated financial results. Second quarter consolidated revenue increased 30% on a reported and 32% on a constant currency basis. Neustar, Sontiq and Argus added about 27 points to revenue and organic constant currency growth was 5%.  Our business grew 9% on an organic constant currency basis, excluding mortgage from both the second quarter of 2021 and 2022. On a trailing 12-month basis, mortgage represented about 9% of our revenue and we expect that to fall below 7% for the full year. Adjusted EBITDA increased 19% on a reported and 20% on a constant currency basis.  Our adjusted EBITDA margin was 36.9%, down 360 basis points compared to the year ago quarter driven primarily by the lower margin profile from Neustar. Excluding the Neustar, Sontiq and Argus actions, the margin would have been 40.2%, down about 30 basis points compared to the year ago second quarter. Second quarter adjusted diluted EPS increased 11%, driven by adjusted EBITDA growth offset by higher interest expense.  Now looking at segment financial performance for the second quarter, U.S. markets revenue was up 44% compared to the year ago quarter. Organic growth was 5% or 13% excluding mortgage. Adjusted EBITDA for U.S. markets increased 25% on an as reported and 3% on an organic basis. Adjusted EBITDA margin declined by 560 basis points, but would have only been down 60 basis points, excluding the Neustar and Argus acquisitions.  Diving into the results by vertical, please note that at this time we've included Neustar's financial results within emerging verticals. As we evaluate our operating structure as a fully integrated business, we will provide you with any necessary updated financial information. So starting with financial services, revenue grew 11% as reported and 3%, excluding Argus. Excluding mortgage, organic constant currency revenue growth was 18%.  Looking at the individual end markets, consumer lending continues to be very strong as historically high levels of marketing activity persisted throughout the second quarter. At this time, we don't have any indication that these lenders intend to pull back on their activity or that there is any appreciable diminishment of available investor capital. Similarly, our credit card business also had another strong quarter as issuers continued to fight for top of wallet position, driving marketing spend as well as incremental use of alternative data and more sophisticated tools for origination. Again, we have no indication this heightened activity level is slowing. Our auto business delivered solid growth in the quarter as new business wins and on-trend innovation, particularly related to digital retailing, helped offset well publicized inventory issues for new and used vehicles even as consumer demand remains high. New vehicle sales expectations for 2022 recently fell by roughly 1 million vehicles. This will place additional pressure on our business in the second half of the year.  For mortgage, rates have continued to rise, substantially impacting the total inquiry market, especially refinancing. The first half of the year, inquiries declined almost 25%. For the full year, we expect the inquiry market to be down 40% to 45% and our revenue to fall 30% to 35%.  We expect our business to perform better than the market as a result of volumetric pricing increases, increased demand for targeted marketing solutions to help lenders attract customers as the market tightens, and increased interest in HELOC products as consumers have seen substantial increases in their home equity.  Let me now turn to our emerging verticals, which grew 98% on a reported basis and 8%, excluding the revenue associated with Neustar as every vertical grew in the quarter. Insurance delivered another quarter of double digit growth on the strength of innovative solutions like DriverRisk and our traditional passenger auto market, and increasingly so in commercial and life applications. In addition to these organic opportunities, our recent acquisitions are driving significant incremental growth opportunities.  Public Sector delivered another good quarter driven by ongoing new business wins, particularly related to fraud mitigation. Tenant and employment screening grew despite a softening tenant market in which fewer renters are moving and inventory levels have tightened to 98% occupancy, up from a more normal 91% level earlier this year. Employment screening remained solid. Our media vertical was up strong double digits in the quarter and we continue to sign meaningful multiyear contracts for identity resolution and other services that are embedded in our customers workflows. We won a large contract with FreeWheel, a tech arm of Comcast and a leading provider of video and sort of ad serving technologies.  We also expanded our relationship adding services via a new contract with one of the largest terrestrial radio and digital audio companies. As Chris mentioned, we are increasingly able to go to market with the combined capabilities of TransUnion and Neustar.  Consumer interactive revenue, which includes Sontiq, increased 8% on a reported basis and declined 9% organically due to decreases in both the direct and indirect channels. Adjusted EBITDA was up 5%. A few factors influenced this quarter's results. Overall, revenue was adversely impacted by moderating consumer demand for paid credit-related solutions across both the indirect and direct channels, and challenging multiyear comparisons to exceptionally strong performance in the direct channel in both 2020 and 2021. This is largely a result of a marketplace shift towards freemium offerings for credit monitoring.  Partially offsetting this is continued strength in identity protection area where the Sontiq acquisition brings enhanced capabilities. And on the indirect side, the restructuring of one of our key partnerships last year and some nonrecurring breach revenue have created an unfavorable year-over-year comparison. These factors are offsetting the benefits of a number of new and expanded contract wins. And we recently signed two new significant partnerships that we can't name yet that we expect to begin to fully monetize in 2023.  For my comments about international, all comparisons will be in constant currency. For the total segment, revenue grew 15% as the underlying market improved, and most of our regions. Adjusted EBITDA for international increased 19% as a result of our strong revenue growth. Now let's dig into the specifics for each region. In the UK, revenue increased 3%. Excluding the revenue related to one-time contracts, including with the UK government, our UK business would have grown about 8% in the quarter as our core financial services business continues to show solid mid single digit growth.  From a macro standpoint, the combination of political turmoil, the Russian conflict in Ukraine, and rising inflation and slow GDP growth is creating a uniquely challenging economic environment. That said, we continue to expect large banks to remain focused on issuing credit as rising rates improve their margins.  We also see continued activity in unsecured lending, particularly credit cards and personal loans. While we are seeing a steadily weaker mortgage market offset this activity, the impact is different than what we have experienced in the U.S. The UK mortgage market didn't reach the same historically high levels, and therefore has less room to compress. And unsurprisingly, while auto demand remains strong, supply side issues have depressed the UK market that had impacted a slightly reduced growth expectation for 2022.  Our Canadian business grew 1% in the second quarter, reflecting growth across the portfolio. This was partially offset by a comparison to a significant breach remediation business in the year ago quarter, which I have mentioned on the past several calls. Excluding the nonrecurring breach business, revenue would have grown 6%. This breach comparison moderates, starting in the third quarter. While we see macro indicators softening a bit, our core business in the second quarter remains strong for two reasons. First, we have several large customers purchasing significant amounts of data to shift or expand their business with TransUnion. We expect to monetize these new contracts in early 2023. Second, many customers are recalibrating their lending models with TransUnion data to anticipate potential further economic softness.  In India, we grew 51% reflecting strong market trends, successful innovation, the benefits of our diversified portfolio, and an easier year-over-year comparison, driven by a second wave of COVID in the year ago quarter. Despite rising inflation, the Indian consumer remains healthy and continues to spend aggressively. As a result, we benefit from a resurgent in consumer lending and credit card issuance along with the continued rise of fintech and BNPL players, all markets where we hold very strong share positions.  In Latin America, revenue was up 14% with broad based growth across our markets, including double digit growth in our largest markets, Colombia and Brazil. The strong growth reflects good macro and consumer fundamentals, ongoing new business wins, share shifts in financial services, particularly with fintechs and Neo-banks and continued uptake of credit vision and fraud solutions.  In Asia Pacific, we grew 22% from continued good performance in Hong Kong, driven by credit visions growth and new business with fintech players, along with continued recovery in the Philippines, which had been under lockdown longer than any of our other markets.  And finally, Africa increased 12% based on the strength of our insurance and retail businesses, as well as meaningful growth outside of our largest market of South Africa. Across the region, we continue to see adoption of credit vision, true validate and our commercial credit solutions.  We ended the quarter with roughly $6 billion of debt, $522 million of cash on the balance sheet, and pro forma leverage of 4.0x. We continue to expect to delever the 3.7x by the end of 2022. Here I'll remind you that we expect to use proceeds from the sale of the non-core businesses we acquired from Verisk for general corporate purposes, including debt prepayments. Before turning to guidance, I'd like to quickly comment on free cash flow. You will notice on our cash flow statement that cash from operations for the six months of the year was a net use of cash. This is primarily due to the $355 million tax payment we made in April related to the gain on the sale of the healthcare business as well as higher interest expense and increased usage of net working capital, primarily related to higher incentive compensation. Also, we used $508 million of cash on hand to fund the acquisition of Verisk Financial Services.  So that brings us to our outlook for the third quarter and the full year. All of the guidance provided reflects Neustar, Sontiq and the businesses we acquired from Verisk. Though for the latter, only Argus and a related business called Commerce Signals are included as we are treating the non-core businesses as discontinued and intend to divest them.  Starting with the third quarter, we expect about 2 points of headwind from FX on both revenue and adjusted EBITDA. For revenue, we anticipate about a 27 point benefit from the acquisitions of Neustar, Sontiq and Argus. We expect revenue to come in between 935 million and 955 million or a 26% to 28% increase on an as reported basis and a 2% to 3% increase on an organic constant currency basis.  Our revenue guidance includes an approximate 5 point headwind for mortgage, meaning that we expect the remainder of our business will grow 7% to 8% on an organic constant currency basis. Adjusted EBITDA is expected to be between $334 million and $348 million, an increase of 11% to 15%. Adjusted EBITDA margin is expected to decline 490 to 415 basis points primarily as a result of incorporating Neustar and the businesses we acquired from Verisk's relatively lower margins.  On an organic basis, excluding the three acquisitions, margins are expected to decrease approximately 120 basis points. Adjusted diluted earnings per share is expected to be between $0.89 and $0.95, a range of down 3% to up 4%. The primary reason for a sequential slowdown in adjusted diluted EPS performance is the impact of rising rates on the approximately 30% of our debt that is floating.  For the full year, we expect FX to impact revenue by about 1 point. We also expect about 24 points of benefit from M&A. We expect revenue to be between $3.748 billion to $3.798 billion, up 27% to 28%. Guidance includes 5 points of headwind for mortgage for the full year. So excluding mortgage, on an organic constant currency basis, revenue is expected to increase 9% to 10%.  For our business segments, on an organic basis, we expect U.S. markets to be mid single digits, but up low double digits, excluding mortgage. Financial services are also expected to be up low single digits but about mid teens, excluding mortgage. We expect emerging verticals to be up high single digits. We anticipate that international will grow low teens in constant currency terms and we expect consumer interactive to decline high single digits on an organic basis.  We expect adjusted EBITDA to be between $1.362 billion and $1.399 billion, up 18% to 21%. Additionally, we expect our adjusted EBITDA margin to compress 270 to 220 basis points this year, driven by the lower margin acquisitions and acquisition integration costs for Sontiq and Argus. We anticipate the margin will expand about 20 basis points on an organic basis. We expect adjusted diluted earnings per share for the year to be between $3.70 and $3.85, up 7% to 12%.  And to help you complete your modeling of 2022, at this time, we continue to expect our adjusted tax rate to be approximately 22.5%. Depreciation and amortization will be approximately $520 million. And we expect the portion excluding step up amortization from our 2012 change in control and subsequent acquisitions to be about $210 million, down from $220 million due to lower than anticipated depreciation and amortization from recent acquisitions.  We anticipate that net interest expense will be about $225 million, up from $220 million due to higher LIBOR and expectations of future LIBOR increases, as implied by the forward curve. Finally, we expect capital expenditures to still come in at about 8% of revenue.  As Chris discussed, there is a level of uncertainty about market conditions for the remainder of 2022 and 2023, with many economists calling for some type of recession over the next 18 months. To help you put this in context for us, I'd like to walk you through a high level view of our business and how we would expect various parts to behave in a recession.  Before I do that, I want to lead with the conclusion. In a somewhat normal recession, we expect our total business to still deliver revenue growth. And we would place great emphasis on protecting our margins without sacrificing important investments and our commitments to integrate our recent acquisitions.  So let's start with financial services, which currently represents a much smaller portion of our much larger company than in 2008. And revenue was less than $1 billion and about 40% was tied to U.S. financial services. Today, we're just under $4 billion with only 30% tied to U.S. financial services.  Importantly, we have a more diversified product offering then in 2008, highlighted by significantly more fraud, collections, alternative data and analytic solutions. All of these are likely to be a cyclical or even countercyclical. In total, they represent more than 10% of our financial services vertical.  Additionally, even in our credit-oriented solutions, in tougher economic times, customers often shift their spending from origination-related activity to portfolio review activity. We'll talk about capabilities in this space over the last several years, further bolstered by our acquisition of Argus.  Beyond that, as we lap the massive decline in mortgage activity, a recession would likely result in lower interest rates, lower home prices, and potentially some level of rebound in both purchase and refi activity. We would also expect some level of buoyancy and consumer lending from debt consolidation and short-term lending activity, hard as consumers cope with financial challenges through additional revolving lines of credit.  Turning to international, we believe there are unique dynamics in each market that will largely behave independently from the U.S. in a moderate recessionary environment. As we're already seeing, we may face some headwinds in our developed markets while emerging markets appear to be more able and used to coping with volatile economic situations. In consumer interactive, we would expect headwinds to largely persist as consumers scrutinize their spending and as lenders reduce marketing with lead generators.  I'll close out this review with some comments on our recent acquisitions. Starting with Neustar, we expect both the communications and fraud businesses to be largely unaffected in a downturn. Marketing business is roughly 80% subscription revenue and helps customers more efficiently resolve consumer identities as well as execute and measure marketing campaigns, something that we believe will retain its value throughout the cycle. Notably, the new start marketing business only declined 1% in 2020, despite a sharp reduction in marketing spending that year. Sontiq should also hold up relatively well as 75% of their revenue is B2B2C, largely sold through benefits brokers and insurance companies. And Argus would continue to provide significant value across the cycle based on unique portfolio analytics to card issuers. So net-net, we believe that our portfolio would weather a downturn well on a relative basis and still be capable of generating revenue growth at attractive margins.  This is possible because of our expansive diversified portfolio of relevant solutions and our deep partnerships built on thought leadership. In a downturn, we would keep our focus on integrating recent strategic acquisitions to ensure they deliver against our long-term expectations. And like we did in the second quarter of this year, we would manage our cost structure to ensure it aligns with the trajectory of revenue growth in order to deliver strong margin performance.  I'll now turn the call back to Chris for some final comments.
Chris Cartwright: Thank you, Todd. To conclude, TransUnion delivered another good quarter and we're set up for a strong full year with 9% to 10% organic constant currency revenue growth, excluding mortgage, and with an organic EBITDA margin of about 40%. And we continue to successfully integrate our recent acquisitions and to find additional confirmation of the investment thesis for each deal.  Now, let me turn the time back over to Aaron.
Aaron Hoffman: Thanks, Chris. And that concludes our prepared remarks. For the Q&A, we ask that you each ask only one question so that we can include more participants. Now operator, we can begin with the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi. It's Andrew. I wanted to ask you a question about Slide 6, which is the current '22 guide. If you could, give us more color about the 25 million bar, which is the organic revenue growth reduction for second half of the year as it refers to U.S. markets ex-mortgage, like give us a sense, does this include an assumption about a slowing consumer lending environment or any vertical within emerging verticals that have had a kind of tempered expectation for the second half?
Todd Cello: Hi. Good morning, Andrew. Thanks for the question. I'm going to give you a response and Chris will add on. And I think it's an important one to hit off from the onset this morning. So I think what is probably most instructive to think about that $25 million ex-mortgage is just simply the growth rates that we had anticipated in our financial services business for consumer lending and for card and banking, we expected to be higher than what I would consider to be already really strong growth rates. And consumer lending, as Chris already said, we grew 29% and card and banking we were 17%. Our original guide contemplated something on consumer lending greater than 30% and for card and banking, obviously, then plus 20%. So when we set the guide in April, the signal that we were getting from the business at that point in time is that things were -- things were going to continue to be very, very strong for us in the quarter. So with that being said, that feeds off [ph] financial services. And if you go to other parts of the business, auto also is a challenge for us. I think that's pretty well documented, just due to the vehicle shortage. But nevertheless, we still were able to grow that business about 5% in the quarter. So, overall, really good. But another part of the non-financial services that I'd call out would be our tenant screening business. And in essence, what we're seeing are consumers that are staying put and they're not moving. So when that move of activity dwindles, that means less activity for TransUnion on our screening product.
Chris Cartwright: Yes. And just to provide some further context, starting with the tenant screening, we still had strong growth in that vertical. It's just as interest rates increase and as home prices increase, a lot of consumers get priced out of the purchase market. They look to the rental market. That demand has led to a spike in rent prices which leads to consumers getting priced out of that. So as a result, move velocity decreases and our volume decreases. But again, I think the broader context here is really important. When we guided 20%, that reflected significant outperformance relative to the market. Now that we're guiding in the mid teens, that still reflects significant outperformance in the market. So, look, it's unfortunate that we dropped the guide a little bit in core U.S. markets, but we do feel very strong about how we're competing in the market. We continue to broaden and deepen our relationships with those clients. And again, as I said, I think we're doing very well relatively.
Andrew Steinerman: Well said. Thank you.
Operator: Our next question comes from Jeff Meuler with Baird. Please go ahead.
Jeffrey Meuler: Yes. Thank you. Good morning. I'll tackle I guess the CIP. So you've previously talked about the tough comps in the direct or paid business and you've told us about the contract restructurings in the past. So I guess I'm trying to understand like what's worse, did the attrition rate pick up? Is it the attraction of new consumers? And if you could just help us understand what worsened? And then on the indirect channel, how much of that is paid or you're seeing the weakness versus other parts, including the ad supported freemium partners?
Chris Cartwright: Yes. Look, I'll break it down for you, Jeff. Look, we expected some softness this year as we guided. We came in the second quarter a little bit softer. That said, going back to the basics and the dynamics, our consumer business is 40% direct, 60% indirect. On the direct side, going back for more than a year, we have been growing low teens, sometimes mid teens. What we experienced this quarter, though, and really in the first half of the year, was just diminished performance in our acquisition efforts as we look across the industry and we've got a good industry perspective, because we've got relationships with all the players, we see an industry-wide slowdown in demand for paid credit subscriptions and a strong shift to the freemium model. So that drove the reduction in the direct performance. And we're recalibrating our marketing efforts to compensate for that. We will also place a greater emphasis on our own freemium offerings. On the indirect side, again, yes, we had some contract restructurings that are going to cause revenue compression over the course of this year, but the trade off was extending the duration and winning higher volume commitments over time. So we would expect that to return to growth after we lap this year of compression. In addition to that and particularly with the addition of Sontiq now, we have had some really good new sales. We've really boosted our ability to compete for breach and identity with that addition. And we're bringing on a couple of major partners that reflect our competitiveness. And the sales pipeline and the closes have never been bigger. So the combination on the indirect side of lapping the price compression from contract restructuring and the sales pipeline and the new wins and their ramp, I think that positions us well for '23. And on the direct side, we'll have to continue to work on our marketing strategies and turn that around in subsequent quarters as well.
Jeffrey Meuler: Okay. Thank you.
Operator: Our next question comes from Heather Balsky with Bank of America. Please go ahead.
Heather Balsky: Hi. Thanks for taking my question. In terms of I guess your customers and consumer, there's a lot of questions out there in terms of the macro and what you're seeing and Walmart reporting this morning and having a little bit more cautious view of the consumer. I'm curious if you're starting to see any signs of a downturn. Any caution on the lending side, any caution on the demand side in terms of credit, and just kind of what you're looking for, or what you would be looking for that signals a potential downturn? Thanks.
Chris Cartwright: Yes, sure, Heather. Like all of you, we're looking at a lot of data. We're looking at overall market data in the countries in which we compete, we're looking at consumer health, and we're looking at current demand across our various lines of business. Obviously, we're concerned by rising inflation. And we know over time, it's going to sap consumer discretionary spending and it could challenge credit performance in certain categories. We have been clear, though, that we haven't seen that materialize in our financials thus far, although it's certainly present in our developed markets. We see it in the U.S., we see it particularly in the UK, and there's been a diminishment in consumer spending in the UK recently, and some of that in Canada. So clearly historic cloud's [ph] out and that's kind of where you said the economic environment is less certain in 2023. But currently, if you look at our lenders, marketing activity remains strong. The fintechs are particularly aggressive in client acquisition and they have got adequate funding to continue to originate. Card volume is really strong. And again, as we pointed out, despite the diminishment in auto supply, we still managed to grow 5%. Now, of course, we have tempered mortgage expectations. We've reduced our inquiry expectations down 40% to 45% for the year translating in revenue fall off in the low 30s. And again, we're doing our best to estimate that and we're facing an industry increase coming up. But overall, marketing and origination volumes remained strong, delinquencies remain quite modest. And so the consumer is healthy. But again, we can't ignore the impact of higher rates and inflation and what that might bring over time.
Heather Balsky: Thank you for the color.
Operator: Our next question comes from Ashish Sabadra with RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. I just wanted to focus on Neustar, good momentum there and you talked about new wins as well. But one of the key concerns that we hear is all about ad spending slowing down as well as some of the challenges which are faced by the social media companies. I was wondering if you can talk about the resiliency of Neustar and the visibility that you have for Neustar to deliver mid single digit for this year, but also momentum going into 2023. Thanks.
Chris Cartwright: Yes, thanks for your question, Ashish. And look, obviously, we've watched the performance of the major ad tech players and we've seen a drop in their revenue trajectories and their equity values and the like. And certainly some of that reflects diminished levels of advertising. It's hard to separate, though, from the impact that certain privacy measures like the elimination of IDFA and the diminishment of third party cookies is having on their ability to target consumers and to articulate their performance. And so that's a structural shift that's happening in their side of the business. Drawing a distinction to train Neustar and our marketing capabilities as we've explained before, we resolve identity based on a broad range of factors, of which those mobile ad IDs and identifiers are just one of a range. And we have a very high proportion of our identity resolved based on first party data relationships, which are not diminishing, right? So I feel like we're fairly well protected against that structural performance decline. Now looking at Neustar this year and in the next, I think let's start with '21 performance. '21 was a very strong year for Neustar. It grew 8% plus and it reflected both their strongest year of new sales in their history, and it was really across their several product lines, but also a surge in the volumes that reflected just the economic re-openings and a rebound in activity and marketing, and also in call center and just economic engagement broadly. So we built our projections off of that volume foundation. What we're seeing across our communications business and a bit in the marketing as well is somewhat of a diminishment of volume as we're not getting the same bounce coming out of the pandemic re-openings as we did last year, but it is being largely offset by ramping revenue from the sales success that we had last year. And that's why we're comfortable guiding in the mid single digits. And again, we're trying to be prudent here in our guidance in the early days of our ownership, as we really get to understand the factors that drive volume across these three business lines. We're also really pleased with the sales pipeline that we've developed in '22 and the close rates. And our goal for the year is to equal or exceed last year's record level of sales. And I believe that we can do it. We don't guide across pipelines, but things are looking quite solid. The second half of the year is important for us in Neustar though because we have to onboard a lot of the clients that we won last year. One of those clients, I said a top 10 Fortune enterprise, it's really one of the largest companies in the world. They bought the entire suite of Neustar marketing solutions, just reinforcing the value and the interconnection between these products. And we're spending a lot of time onboarding that, and they're going to be a major source of new revenue for us going forward. So it's just an example of kind of the intensive heads down, new win onboarding that's taking place this year that in my opinion ultimately reflects the health of the business. We're competing well. We're winning. We're gaining share. And look, the volumes are going to be -- we're going to have to see what they're going to be over the course of these first couple of years and just the uncertainties in the market going into 2023.
Ashish Sabadra: That's very helpful color. Thanks, Chris.
Operator: Our next question comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks very much. This is sort of been asked in a couple of different ways so far, but I just want to make sure that I'm understanding the characterization of what's going on with the U.S. business basically. So it sounds like you're seeing still some strong lending in the market. A number of the verticals are still sort of hanging in there. But it is a little bit slower now versus previously and slower than what your initial expectations were. And it sounds like from your comments, things are still strong, but maybe just a little bit slower. And just want to understand if I'm -- confirm that I'm understanding that correctly. I think a few other companies that have reported basically said they haven't really been seeing a slowdown at this point. So just want to understand what's maybe different here versus what others have been talking about? Thanks.
Chris Cartwright: Yes, I think what I would say is, look, some of your characterization, I do agree with, and we have reduced our growth expectations for U.S. markets for the year. If you focus on the financial services component, we had an ambitious guide around 20%. It was founded in the trajectory of the business at the time. Now we're guiding into the mid teens range, if you will. Some of that diminishment is mortgage, which I think everybody's familiar with. And the other parts of it reflect not growing as fast as the exceptionally strong growth that we experienced -- that we projected. But Toni, what I want to be clear is if you compare the growth rates that we outlined our guide, it was materially higher than the market and our performance thus far as well as our guide for the full year reflects material outperformance. So we are really positive on the business and very positive on the guide. And at this point, we haven't seen any diminishment in lender performance or consumer strength, right? So I want to be really clear on that. The other part is the emerging markets business, which is an increasing portion we're forecasting roughly 8% growth organic over the course of the year. We have many components that are growing double digits by insurance and media and tenant and employment screening, the whole diversified markets portfolio in public sector. So while the guide is down a bit, growing low double digits is terrific. And I think you can -- if you just step back and look at this in the broad, you can only characterize our U.S. market's performance as exceptionally strong.
Toni Kaplan: Thank you.
Operator: Our next question comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi. Good morning. Thank you. I just wanted to talk about emerging markets. It sounds like you're expecting those countries to be pretty resilient, and just wanted more color around that. And I'm curious if it's -- are you expecting sort of the macro situation in those markets to remain resilient, or do you think that your products and if your idiosyncratic drivers in those markets that should continue to grow to the extent there is sort of disappointing macro activity?
Chris Cartwright: Yes. So, look, our international division is performing exceptionally well, mid teens organic, and within that the emerging components really, really strong growth. What I need to point out, though, is, well, first of all, overall, and certainly in the international portfolio, there is some increased challenge in forecasting results, because we have got to -- we're modeling the degree of rebound due to pandemic re-openings. In emerging markets, the shutdowns were particularly severe a year ago in India and in the Philippines and in Hong Kong. Those economies are considerably more open. It's not wide open right now, and so economic activity is returning to a more normal level. And the normal level is higher inherent economic growth than the developed markets. So GDP growth, you would expect just to be higher, and that's true even during a downturn. On top of that, you've got rising middle classes that are expanding their use of traditional credit. And so you've got the additional growth element there. So that's why we believe our emerging markets structurally will produce higher growth. Now in the quarter, India grew 51%. I would not advise you to update the CAGR for India to 51%. But it is going to remain a dramatic grower as is most of our emerging portfolio. And we look at our international business, in particular our emerging markets, and our core U.S. market's B2B business as key pillars of our outperformance.
Faiza Alwy: Thank you.
Operator: Our next question comes from Seth Weber with Wells Fargo Securities. Please go ahead.
Seth Weber: Hi. Thanks and good morning. I just wanted to go back to the margin performance in the quarter, which was very good, and your comment about cost management and the synergy initiatives? Is the cost management -- are you proactively reducing costs here ahead of what you see as a slowdown, or are all of those costs adjustments just related to the acquisitions? Thanks.
Chris Cartwright: Yes. Well, look, a good portion of it relates to the execution of our cost programs for the acquisitions. And you guys will recall that with the Neustar acquisition in particular, they were executing a pretty dramatic cost restructuring on the technology side, which consisted of changing cloud providers and also shuttering a lot of the data centers as a result. And we have been able to confirm that we can deliver all of those savings and we are well down the path toward executing that over the course of the year. The other component was the natural synergies that we would expect in general administrative expenses as we combined Neustar into TransUnion. Those are proceeding ahead of plan and that's one of the reasons why our adjusted EBITDA margins for the year are going to be at 26% on that deal. So we're very pleased about the progress and driving the EBITDA from our acquisitions and we're confident that we can deliver on that dimension. Now in the broad though, of course, we are looking at our overall spending, as most companies are doing, and we're prioritizing where we invest. However, we're remaining highly investment focused. The way to get shareholder value out of these deals and out of the transformational efforts that we've got on operations and technology and around our centers of excellence is through execution. We got to get the work done to deliver the economic benefit. And I feel like we're tracking extremely well. Now, of course, we're going to be smart on where we travel, where we entertain, where we add incremental heads, et cetera. But again, we are leaning in to acquisition integration, product innovation, and business restructuring.
Seth Weber: That's very helpful. Thank you.
Operator: Our next question comes from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Yes. Thank you. Good morning. So I guess I just wanted to follow up on, it sounded like in April when you had those expectations of greater than 30% for consumer lending, 20% for card and banking, et cetera, I guess perhaps that turned out to be too optimistic. So just to get a gauge of what you're assuming for this year, could you just let us know what those revise assumptions in those two categories, and I think you call out auto and tenant as the other areas of slowdown?
Chris Cartwright: Well, Manav, we provided the detailed breakdown in Q2, because it demonstrates the strength of our performance in financial services. We've [indiscernible] an overall guide for U.S. markets for the year. We haven't broken it down though. But I think independent of the breakdown you should assume that growth is going to continue to be very strong in those categories over the course of '22. Now we're trying to be conservative in our mortgage forecast. As you can see, we are probably at the top of the market in reducing the inquiry volume that we expect in the revenue flow through. So we really tried to derisk on the mortgage side. But as you know, Manav, that's tricky business and we're facing another three quarter point increase. We'll have to see how the market reacts. But we've tried to model that and model it to the conservative side.
Manav Patnaik: Okay, got it.
Operator: Our next question comes from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi. Good morning. Thanks for taking my question. I know it's a smaller piece of the business, but I wanted to ask another question on consumer interactive and specifically as it relates to the freemium shift. What do you think is driving that? Is it economic conditions at the lower end of the consumer market? Is it enhanced marketing from other players in that space that it sounds like you're kind of planning to catch up on or something more structural, just wondering if you have any thoughts on what's driving?
Chris Cartwright: Yes. Well, I should emphasize that a big portion of our revenues from this division comes from supporting freemium players to the indirect. That's been our largest avenue of participation. And some of those agreements have been restructured to offer some, let's say, relief in the near term in exchange for duration and volume increases over time. So we're going to continue to benefit from freemium because we have kind of a supportive industry neutral relationship, if you will. And that has been a unique attribute of TransUnion for a long time. We also have our own freemium offering. It's relatively modest. And as we reformulate our marketing strategies based on our current rate of customer needs, we're probably going to increase the emphasis there. Now does this suggest some economic distress? I don't know. I wouldn't put my finger on that. I think it probably just reflects the prevalence of freemium offering, the wide availability and the need to kind of embrace that model where the basic credit report will be free, but then there's the opportunity to sell value-added services like identity protection and scores, and of course lead generation to lenders as upside.
Aaron Hoffman: Great. And that's going to bring us to the end of the call this morning. We know it's an extraordinarily busy morning with Moody's, MSCI, Fiserv also all reporting among others in this space. So thank you very much for taking the time with us, and we look forward to speaking with many of you over the course of the quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.